Operator: Good day, and welcome to the Kenmare's 2024 Interim Results Call. [Operator Instructions] And finally, I would like to advise all participants that this call is being recorded. Thank you. I'd now like to welcome Kenmare's Chairman, Andrew Webb, to begin the conference. Andrew, over to you.
Andrew Webb: Thank you. Good morning, everyone. Welcome, and thanks for joining us this morning. My name is Andy Webb. I chair Kenmare's Board of Directors. First of all, I'd like to draw your attention to the disclaimer, which I don't propose to dwell on, and moving on to the agenda. I appreciate I don't normally speak at interim results, however, on this occasion, I wanted to say a few words at the start. In March, we signaled that Michael Carvill will be stepping down after nearly 40 years of leading the company he founded. That's happening today. And I'd like to reiterate the thanks of the Board and shareholders to Michael and add my personal thanks and appreciation for his enormous achievement. Firstly, of bringing Moma into existence, and then building the company into what it is today. We were delighted to announce yesterday that Tom Hickey has been appointed to succeed Michael as Managing Director. And I look forward to working with Tom in his new role. He leads a strong finance team, but we will obviously move to appoint a CFO to succeed him. Tom, Ben and Cillian will be taking you through the half one results today, but stepping back from the detail for a moment. Kenmare is well positioned as it enters the Nataka move to access the long-life resources there. The continued focus has been on safety, community relations and environmental sustainability. And the team will demonstrate to you that the company is well founded, that the Nataka project is on schedule and is being derisked. Look, we're on track for 2024 production and sales despite the slow shipping in half 1, and that we continue to see encouraging market demand for the ilmenite that the company produces. And in the context of the balance sheet strength, the Board has now declared an interim dividend of $0.15 per share. And Tom, I'd like to hand over to you to start the financial review.
Tom Hickey: Thanks very much, Andy. As Andy mentioned, first half did see a little bit of turbulence from a shipments perspective. But I think from a full year perspective, we're very comfortable and confident the business, Ben will talk later about where we are production and guidance, Cillian will talk about the market, and I think what we're seeing is, even already in Q3, getting to the levels of performance and execution that support our ambitions for the full year. I think, as Andy mentioned, we've seen some very strong cash generation in the first half. We've got record net cash. A little bit later on, we'll talk about it's not just the cash. It's the wider asset position of the business that leaves us well placed for the investment program that we will work through over the next couple of years. And that program itself is progressing well. And we'll talk about where we are in terms of contracting and progress on that. Look, I think despite the fact that H1 results were a shade softer, we're still generating very strong cash flow. 40% EBITDA margin. And we expect that, as Andy said, the balance between ilmenite and coproducts to reverse or rebalance in H2. So if we look at the specifics of the P&L account. We had our mineral product revenue down 33%. 14% decrease in shipments, 22% decrease in average price over the first half. Just I suppose to balance that, the average price in the first half was only 8% below the second half of last year. So we are seeing some moderation in the price volatility. Matching against lower shipments, we had lower cost of sales and operating costs. And in general, our costs are under good control at the moment. And we did receive a one-off credit in the first half of this year, of just over $3 million of insurance proceeds relating to the lightning strike last year. So it was the cost in last year's P&L, it's a slightly larger credit in this year. We refinanced our prior term loan and revolving credit facility in the first half, and we now have an undrawn $200 million revolving credit facility, and all the finance fees relating to the old facility plus the new one were recognized in the first half. So of those finance fees, over $3 million of it is fees and costs related to the refinancings. And that won't now be part of P&L again going forward. And I suppose the combination of these effects led us to record EBITDA of $63 million, just over 40%. And we do expect and we're already seeing the resumption acceleration of shipments in H2 to reverse the product mix in H1. Just to linger on that a little bit. The shipments were down a little bit. We did -- we always do in the first quarter of the year, generally, have slightly more challenging weather conditions, which impact on our ability to utilize our transshipment vessels efficiently. And we did have some minor issues with the product conveyor, which are remedied and won't be a constraint in H2. We are seeing good visibility from customers, with good finished product stocks which create resilience and the ability to adapt to demand, and we have seen strong demand from our customers in the first half. And better weather, which we're already seeing, and we have very strong shipments in July, including some of the shipments that were deferred from Q1. We did see in the first half market a shade softer, decreased in average price. And that average price is obviously a mix zirc -- of ilmenite and coproducts, and significantly lower on the coproducts. So that's a larger adjustment than we would expect to see over the full half -- full year. And ilmenite products, prices are down 8% from the second half of last year. Zircon prices down pretty much the same. And as I said, we are expecting to see a rebalancing of the product mix in the second half of the year. We did, however, aside from the production outcomes, we were higher in terms of production in the first half than we were in the first half of last year. We were 4% higher in terms of finished product production. And as I mentioned, our operating costs, and some savings, normal wage inflation, plus the credit on insurance proceeds, our costs are down 2% year-on-year. So under good control. And that comes due to a 5% reduction in total operating cost per tonne. The total cash cost per tonne of ilmenite should rebound in the second half with additional coproduct sales. And I suppose where that brings us to is the cash performance in the first half of the year. And I think that was what pleased us particularly. We started the year with net cash. We finished the year with significant net cash. But that doesn't tell the whole story. I mean, during that period, we spent -- we've generated over $50 million in operating cash flow, spent just under $50 million in CapEx. And we are obviously embarking on a significant CapEx program and indeed well into it from a contracting perspective, and Ben will talk about that later. But of that CapEx in the first half, about 1/3 of it was our normal sustaining CapEx just to run, maintain and renew our equipment, fleets and facilities. 2/3 was the development expenditure on the transition to Nataka, our new, more powerful dredgers and the start-up work on the desliming unit that Ben will speak about. And we also had a big cash inflow from working capital. Those of you who are on the full year results call back in March will recall we had nearly $140 million in debt as of the end of 2023. That rolled off significantly in the first half. Receivables are down $86 million. And obviously, that matched with the slightly lower shipments in H1, means that our debt position was lower and transitioned into cash. And similarly, we are holding, for those reasons, slightly higher inventory at the half year. And that gives us a strong working capital position. Those strong cash flows enabled us to pay $35 million of dividend, fully repay our prior debt facility, and end the year with record net cash. So the business is in very good shape from a cash perspective. And maybe if we touch a little bit more widely on the balance sheet, it's not just about the cash. It's about our overall net current asset position. We have $113 million of inventories, of which $78 million is finished products, that's, remember, they're held at cost, not sales price. It was a significant store of value there. Close to $70 million of trade receivables, $60 million of cash. Collectively, subtracting creditors, that's net current assets of $200 million plus $200 million of undrawn debt. So the business has kind of aggregate financial capacity at the half year of close to $400 million, leaves us very well placed for our CapEx programs. And that's before we talk about operational cash flow we generate in the second half. And I think if we look at the history of the business and we look at where we are in terms of funding that CapEx and the dividends, it's actually quite interesting to look at that historic net assets position. So you can see on the left-hand side of that graphic a significant move towards a higher net asset holding in late '22. And indeed, that was when we became a net cash business. And that effectively enables us to have a strong store of value on the balance sheet at any given time, which leaves us very well placed to adapt, not just to the evolving market, but also to any peaks and troughs in the CapEx program. So if we pile up the WCP A Nataka transition CapEx, which Ben will speak about a little later, based on our current estimate of phasing, which may in itself be conservative, and you can see we're well covered from our existing resources and facilities at 30 June to meet that, although we may well move towards drawing down our debt facilities in the second half of the year. Finally, from a finance perspective, all of this performance over the last number of years has enabled us cumulatively to pay out, including the interim dividend, close to $280 million of cash in terms of dividends or buybacks, i.e. total shareholder returns, which is like GBP 2.40 per share of Kenmare. First half of the year, Andy touched on, we declared a dividend of $0.15 per share, it will be paid in early October. We have a dividend policy, let's recall, of 20% to 40% of profit after tax, that payout range. We do expect still to be within that payout range, we're just slightly above the first half, second half profile of that. And I think that's, in itself, I suppose, a symbol of how we feel about where the business is right now. So that's a summary of financial performance in the first half and how we think about the future. And now I'll hand over to Ben to talk through the operations.
Ben Baxter: Thanks, Tom. Good morning, everybody. So moving on to Slide 16. I'll start with health and safety. And we had a very strong safety performance in the last -- in the first half of the year and actually since over the last 9 or 10 months. Our lost time injury rate is -- frequency rate has progressively dropped from 0.21 to 0.09 by the end of June, and it's continued since then as well. That's equivalent to -- during that period, we had a period of 5 million hours without lost time injury, which was equivalent to 8 months' worth of work. And really the reasons for this are the sustained levels of performance by our leadership around safety, with a particular focus on standards and task planning. We did, however, unfortunately, have a fatality at the site during the period on the 1st of June. However, we've had police investigations taking place on that incident and have found that it was not part of the normal activities of our operations and, therefore, has been declared as a nonwork-related incident and is not included in these statistics. On to the next slide, please. More broadly on our sustainability goals, we continue to advance goals in the first half of the year. We have a wide program of actions. But maybe notably, I'd draw your attention to the improvements that we're seeing in malaria in the areas around the mine. And that's not -- that's -- one particular highlight of that is that we are now seeing that children are being vaccinated for malaria in the -- at the KMAD clinic that Kenmare supported and built. In addition to that, I'd draw your attention to the fact that we've improved -- we are now improving our post-mined land through slimes soil conditioning. And the trials that we've been doing have been successful, and we expect to continue to add slimes into the soil profile to help improve agricultural yields in the future. On the next slide, I'll talk about the production. We have -- we're on track to achieve our 2024 guidance at the half year mark. And that comes around through a solid production profile for the first half of the year. You'll recall we didn't have an easy Q1. However, Q2 really improved significantly. And so we were able to report a 4% increase in HMC production. And that translated to a 4% increase in final products production, ilmenite being the main component of that. The mine has performed well because there was a 7% increase in excavated ore and also improved heavy mineral recoveries from the operations. This was offset, though, by the planned lower grades in the first half of the year, which were 5% lower than the previous period. That is set to reverse in the second half of the year, and we're actually already seeing the grades profile rising. We expect the second half of the year to have grades averaging 4.5% across the operation. And as I say, that's already starting to be seen. On finished products, as I mentioned, we had improved ilmenite production. But we did have challenges in the first part of the year on our coproduct production. The zircon and rutile was initially lower. Rutile recovered following maintenance works in the plant and actually ended up being 11% higher. We did have a buildup of inventory during -- sorry, intermediate inventory, during the period, which was waiting to be processed after the improvement works that were completed. And some of that was drawn down and turned into product in zircon, but there's some remainder to be drawn, to be transferred to product in the second half of the year, hence, the minus 7% on zircon. Moving on to shipments. Shipments were a challenge in the first half of the year. And the shipments were impacted by weather and the effect of weather on the sea conditions, as well as we had to do some operational maintenance on the product transfer conveyor system that links the mineral separation plant to the jetty. Those works have been completed, and that was all done successfully in June, and -- by June. And that conveyor is no longer any form of constraint to operations in the second half of the year. So in summary, moving -- or looking forward, we do expect to have higher production in the second half because of the contribution of those higher grades, and sustained good performance on excavated ore. And then on the shipment side of things, we have a buildup of inventory, which can be drawn down, but we also have seasonally good weather conditions, and we expect the shipping to increase. So moving on to Slide 19. How do we see -- if you could go back 1 slide. Yes. That's the one. So we are targeting for the year to deliver 1 million tonnes of ilmenite production plus coproducts. That sits in the center of our 2024 guidance. And I'd say that we are on track to do that. As I said, we have these higher grades, which are already starting to deliver additional production. We had a good start to the second half in July, and even realized a monthly record in rutile production. And then just on the shipping, in terms of catching up the deferred shipments from H1, the 2 zircon shipments which impacted our earnings, they are already dispatched and we don't expect those to have a meaningful impact on the overall second half shipping rates. We expect to catch -- those to be catch-up shipments and still make our expected shipments in the second half. On 2025 and beyond, the production for 2025 is currently expected to be in the same region as '23 and '24 of around 1 million tonnes. We're balancing there the project implementations, which will come in 2025, with the wish to continue to make at least 1 million tonnes of ilmenite. And then beyond 2025, the main driver of our future production at this point lies in the delivery of an upgrade to the WCP B plant. And you'll recall that currently has a deferral of the final investment decision. But once completed, that project is expected to bring us sufficient HMC to fill the mineral separation plant and deliver the 1.2 million tonne ilmenite production. So moving to Slide 21. I'll talk through now the capital projects that we're going through. This slide just presents the overall context, that we have a project portfolio that's designed to secure the future production at Moma. And the principal work that's taking place at this point in time is the transition of WCP A from the depleted Namalope deposits into then our largest deposit called Nataka. As you can see from the chart, that represents more than 70% of the mineral resources that we hold, and many, many decades of future production. WCP A is -- represents 50% of our mining capacity. So the combination of the largest plants moving into the largest ore body and having it prepared -- the plant prepared well for that ore body really helps us to secure production in -- for decades to come at Moma. WCP B, you'll recall, moved to Pilivili at the beginning of this decade. And once it completes mining in the Pilivili zone, transitions seamlessly to the Mualadi deposit, which is immediately adjacent. And then later on from there, adjacent again is the Nataka deposit. And so we expect those transitions to take place. This means that there are no significant relocation costs post the current WCP A move. WCP C remains mining in Namalope until 2030. This is a small plant, and we've designed its mine path to complete mining in Namalope, at the same location where WCP B completed its mining. And so the relocation costs are expected to be low, firstly, because it's a very small plant, but also because we expect to reuse the infrastructure that was already built for the relocation of WCP B and WCP A when it moves to Nataka at a later date. Moving to the next slide, a little bit more detail on the progress of WCP A and its project, which is our main focus right now. WCP A, we want this plant to be able to operate at high volume, low cost, operating in Nataka, and really to bolster our wish to be the lowest-cost producer, and certainly in the first quartile of the revenue cost curve. The majority -- in order to do that, majority of the equipment at WCP A is being changed out. Existing dredges are being replaced. That not only gives us confidence on the future mining capacity of this plant, but it also will remove the more expensive dry mining that currently supplements the WCP A operation. We'll be desliming the feed upfront using a new module, which has desliming circuits, screens, and the new surge bin which you can see is currently in fabrication on the photograph on the right. Then -- that slimes will be sent to a tail storage facility dedicated at a fixed location. And that will help us improve our recoveries, but also remove the higher-cost slimes paddock system that we've been utilizing over the years at WCP A. And then lastly, this upgrade work, it's all undertaken prior to us actually getting into the main body of Nataka. And so we expect to start to see benefits of these additions coming through during 2025. The execution is underway at the moment, and it's going well. The fabrication of the new dredges is underway. The pontoons -- individual pontoons have been manufactured and are now being positioned and welded together on the slipway. So these pontoons are now turning into a dredge, and that's happening in Holland. The fabrication of the pontoons and the surge bin for the new desliming units is well underway, 14 of those pontoons are due to be shipped next week to site. And then the -- along with pieces of the new surge bins. So during September, we expect to be constructing the new plant on site. And then on the tail storage facility, the detailed design process is almost complete. That's being done to the GISTM tailings management standard. And we expect that construction for the tail storage facility will commence in early Q4. Lastly, the infrastructure work, which we had approved by the Board in July is now -- the early works for that are now moving into execution phase. And so we expect that to all go fine. So all of that sort of wraps up to meaning that the project is on track for delivery towards the end of 2025. Moving on to the next slide, and just to talk through the costs. The project, as Tom showed earlier, is comfortably funded by the existing facilities that we have. The cost remains at $341 million, which we guided back in December 2023. That has -- despite the fact that the project has moved forward and become more detailed and the DFS has been closed out, that cost remains the same. We have been able to defer some of the spend, $33 million, has been pushed further along in the profile, as we've been able to align the mine plan with that increased level of engineering. In addition to that, right now, we -- or by the end of the first half, we had committed 54% of those monies. And we are progressively derisking the project as we go. By the end of the year, we expect that number to be 75%. Nevertheless, we have -- the contingency that's shown there at $52 million is actually split amongst the various components of the project. And as the execution goes on, you'll expect that some of that contingency is starting to be drawn to support the development of each of the components. But the overall $341 million remains intact. And maybe just to reiterate again, the CapEx plan is fully funded through the operational cash flows and the debt facilities that we have. On to my final slide, just a brief update on the WCP B upgrade, and the Congolone studies which are continuing. You'll recall WCP B is -- upgrade is a 40% increase in capacity. That's about 1,000 tonnes an hour. And that DFS is continuing. Work was completed -- further completed in -- during the half -- first half of the year. We have deferred the final investment decision on that pending the derisking of the WCP A project. And that has allowed us to complete some additional work in -- through the second half of this year, to further improve the value proposition of that project. We think it's a good project, and we still see it very firmly in our sights. However, we will give more details on that in our January update to come. On Congolone, you will recall that this is a future growth project for the business. Congolone is an ore body that sits to the north, about 90 kilometers to the north, of the Moma operations. And during the period, we've been looking at the pre-feasibility study on this operation. We've advanced our understanding of the mineral resources. We now know that we have at least 20 years of production available to us in that area. We've also been looking at the -- optimizing the mining methods, as well as how to get the mineral -- the heavy mineral concentrate that's produced there back to the mineral separation plant in Moma for processing. Those works continue. What I would say is that this project is -- it's continuing in tandem with the other 2 projects. But our priority is very firmly on completing the WCP A execution phase. And so whilst this operation -- the Congolone work does continue, it's rather a P2 rather than P1 at this moment in time. And with that, I will pass on to Cillian, who will take us through the marketing update. Thank you.
Cillian Murphy: Thanks, Ben, and good morning, everyone. I'll start on Slide 26 and really look at the 2 major markets that consume Kenmare ilmenite, starting with the TiO2 pigment market. What the graph shows is the long-term relationship between titanium pigment consumption and global GDP growth since the 1960s. You can see during COVID there was a bit of a breakaway where GDP decreased, but pigment -- or consumption was higher due to really plastics and paint increasing. But that is now returning to more normal trends. And we've seen pigment demand actually grow in 2024, and we expect that to continue. Then looking at the titanium sponge market, this is the fastest growing part of our market. It's gone from maybe 5% of the market to around 8% now. And it's used in lots of different parts of the industry, and particularly China is where we're seeing the strongest growth, almost tripled in the last few years. Kenmare has actively targeted this part of the market where it's 8% of the global titanium feedstock consumption. For Kenmare, about 17% of our ilmenite sales in 2023. So it's one we're really targeting. So I think this graph, or this slide shows -- we see very strong demand dynamics in both of our key markets for ilmenite. Moving on to Slide 27, focus on our ilmenite products. The x axis on this shows the ilmenite TiO2 content required for certain market segments. And then IP1, IP2 and IP3 are Kenmare's 3 ilmenite products within the product suite. And what this shows is that Kenmare can target all 5 market segments, and each of our products can be used in 3 -- at least 3 different market segments. And that gives us the opportunity to really put our products where we think they are most valued in the market. And we've been actually actively doing that. For example, at the titanium sponge market, but also, I think sulphate pigment in China is one where we didn't see it getting appropriate value, and now we've gone from that being a major market to Kenmare to being quite small. That's something we can continue to do with our high-quality flagship of products into the future. Moving to Slide 28. I think this has been touched on by Tom earlier. But I really want to start with saying that the demand in the first half for our ilmenite was quite strong. We saw that in China, there was record pigment production and there was record sponge production in the first half of this year. Outside of China, utilization rates -- majority of pigment plant increased as they saw demand improving from what was a low point 2023. On top of that, what we saw outside of China was that inventories through 2023 of ilmenite in particular have been drawing quite low. So as demand and production of pigment increased in the first half of this year, inventories of ilmenite were very low. That's what led a bit to this picture as our shipments were lower. We had to prioritize certain shipments, and we prioritized those which our customers told us they needed in order to keep the plants running. That resulted in ilmenite being a much higher proportion than normal. And frankly, our zircon customers worked with us to delay those shipments into early Q3, and they have now gone. So that resulted in ilmenite being a much higher portion of the revenue split, but we expect that to normalize in the second half as we reduce those zircon inventories to low levels by the end of the year. Finishing on an outlook. I think we have a very strong order book in line for the second half of this year. We're a couple of months in and a lot of the product is already locked up with our customers. This is going to both of our strong markets, the titanium pigment and the titanium metal market. On top of that, we expect demand growth to continue to grow in 2025. And we are seeing new capacity of pigment and -- of titanium slag being brought on, which we believe provide further opportunities for Kenmare. So we're quite confident in the demand for our ilmenite going forward. On the zircon side, the demand picture is quite similar to ilmenite. We've seen it rebounding from a low-point 2023, and we expect that to continue through the second half. In China, I think Q3 tends to be a bit lower. We continue to see strong demand for our products given the high-quality zircon contained in the concentrate to sell that. And with that, I will hand back to Andy, I believe.
Andrew Webb: Thank you, Kevin. To conclude, Michael leaves the company in the hands of a great team. You've heard from Ben on how we're addressing delivery on production and how we're managing implementation of the Nataka move. Cillian shared his views on the supportive markets from Moma's products. And Tom set out how we're using the high margins to fund the investment and shareholder returns. Tom has also been leading the constructive discussions with the government of Mozambique on the renewal of the implementation agreement. Moma is a world-class long-life asset. It's the reason you're investors in Kenmare. And we will continue to mine it in a responsible manner and generate good margins and attractive shareholder returns. As I said at the beginning, Tom, Jeremy and the team will lead the interaction with investors. But I am, your other directors are always delighted to hear from you as shareholders, and I look forward to doing so in the coming months. And with that, I think I'll hand over to you, Gavin, to manage the Q&A process.
Operator: [Operator Instructions] And your first question comes from the line of Colin Grant from Davy.
Colin Grant: Great. Thanks very much, and good morning, everybody. Just a couple of questions. Firstly, just on shipments. You've given some good detail in terms of your expectations for a recovery in shipment volumes in H2. Just wondering if there's any additional color you can give around that in terms of potential shape of shipments in Q3 and Q4. Anything else that would just underpin that confidence you have that we're going to see the rebound there would be helpful. And then secondly, just in terms of pricing. Ilmenite prices were down 8% in the first half versus H2 2023. You've mentioned that was a bit better than your expectations, driven by some customer restocking. I'm just wondering if you can give us a little bit color on what your expectations might be for H2, whether you expect that pricing to remain kind of broadly stable from where we are. Just those 2 questions to start with.
Andrew Webb: I'll leave that one for Cillian.
Cillian Murphy: Yes, I can start with the first one. Look, I think shipment volumes, so we can have more confidence in Q3, we're halfway through. And I think we've had good weather so far and we've had good performance from our loading rates. So I expect both Q3 and Q4 to be strong, but more confident on Q3 given we're halfway through it. And that will allow us to really draw down our inventories of both ilmenite and zircon through the second half. On pricing, I think we're in a good place to be confident on pricing at the moment given we've got orders locked in for a lot of the volumes for the second half. I don't see big material change. I think there could be some moderation, but it will be slight, and we've got good confidence behind that now given what we've locked in.
Operator: And your next question comes from the line of Cody Hayden from Berenberg.
Cody Hayden: This question is for Tom. First, congratulations on the appointment. And second, I'm wondering if you could speak on strategy and if we should expect any changes under your leadership.
Tom Hickey: Cody, look, I think I've been in the business nearly 2 years now and spent a lot of time speaking to shareholders and the team at Kenmare. We did a shareholder survey earlier in the year, and I think the message was consistent with what I've heard throughout my time. What shareholders want us to do, first and foremost, is to deliver Nataka, to deliver it safely, to deliver it in accordance to the schedule and to deliver it in accordance with the financial costs that we've outlined over the last number of months, and Ben has touched on the progress of. So in reality, for '24 and '25, at a minimum, operations is strategy. That's what we'll be doing. I think we've tried to highlight at different times what our longer-term options are in terms of growth, should the market demand and our shareholders request is. And look, we do look at other projects, we do look at earlier-stage things. But in reality, in the short term to medium term, I think the strategy will be more evolutionary than revolutionary. We're going to keep doing what we're doing. We're going to do it as best as we can, and we're going to do it while maintaining shareholder returns and a well-structured balance sheet with plenty of capacity.
Operator: There are no further questions at this time, so I would like to hand back to our speakers.
Andrew Webb: Well, thank you very much, everyone, for dialing in. So there'll be another call for private investors later in the week. And we look forward to seeing many of you during the roadshow in the next few days. Thank you, everybody.
Operator: That does conclude our conference for today. Thank you for participating. You may now all disconnect.